Operator: Good morning, and welcome to the Orbia's Second Quarter 2021 Earnings Conference Call. As we turn to Slide 1, all participants will be in listen-only mode.  After today's presentation, there will be an opportunity to ask questions. . Please note, this event is being recorded. I would now like to turn the conference over to Mr. Javier Luna, Orbia's Capital Markets and Investor Relations Director. Please go ahead, sir.
Javier Luna: Thank you, Sarah . Good morning and welcome to Orbia's second quarter 2021 earnings conference call. We appreciate your time and participation today. Joining me are Sameer Bharadwaj, CEO; and Edgardo Carlos, CFO.
Sameer Bharadwaj: Thank you, Javier, and good morning, everyone. Let me start by again recognizing our 21,500 plus associates for their dedication to Orbia and to serving our customers despite COVID-19 and other challenges. Although the pandemic is not over globally, we continue to be optimistic as vaccination rates improve. We will continue to be watchful of regional conditions and we will remain vigilant about employee health as we adhere to rigorous safety and sanitation protocols. Let me now provide a high level overview of the second quarter's positive business performance. I'm on Slide 3. First, Orbia delivered another incredibly strong consecutive quarter building on the positive momentum that started in the second half of last year. Revenues and EBITDA have reached historic highs delivering strong growth, both year-over-year and sequentially. While this is a testament to the resiliency of our business model, and improving global economic conditions; it is noteworthy that we also managed through some headwinds in the quarter due to supply chain disruptions, labor constraints and rising raw material and freight costs, as well as some continuing regional COVID-19 pressures, particularly in India. Our results were supported by actions to mitigate higher costs and supply chain issues when we realized benefits from a diversified and integrated portfolio of businesses. On this point, and as we have seen in the last several quarters, supply disruptions in the raw materials value chain have hindered our non-integrated competitors while we have been able to overcome supply disruptions and forge new relationships with customers, increase volume and improve our market position. The string of outstanding consecutive results are the outcome in large part of synergies associated with our integrated portfolio. Demand continues to be very strong across all product lines, and our growth initiatives are working. EBITDA growth was 113% year-over-year and 24% sequentially, with positive movement across all businesses except for Dura-Line and Netafim. Comparisons to the second quarter of 2020 are difficult for both businesses, and Dura-Line in particular, given that raw material prices were at historically low levels at this time last year. Dura-Line also typically experiences a three to four month time lag before the company is able to recover higher raw material costs with increased pricing. I'm confident that the margins for Dura-Line should start improving in the second half of 2021. Furthermore, all our businesses experienced strong market demand. We executed well on offsetting rising costs through proactive pricing plans and cost reduction actions.
Edgardo Carlos: Thank you very much, Sameer for your words and good morning, everybody. We continue delivering sequential growth both, in top line and EBITDA since the third quarter of 2020 following global economic recovery. On a consolidated basis, our net revenue for the second quarter was $2.2 billion, up 59% year-over-year, with a strong growth across all businesses. EBITDA was up 113% with margins increasing 629 basis points, despite the rising input costs in raw material transportation and labor. Our strong performance in the second quarter also compares very positively to past pre-pandemic performance levels in 2019. It is not worth it to mention our outstanding performance for the last 12 months, in which we saw revenue exceeding $7.5 billion, and an EBITDA of $1.75 billion with our free cash flow reaching $610 million, and our return on invested capital back to two digit with 10.7%. We delivered strong free cash flow of $264 million during the quarter despite an increase in working capital tied to significantly higher sales activities sequentially, and to some extent higher raw material costs in our inventories. Net debt has been reduced to $2.7 billion as a result of a strong cash generation in the quarter representing a net debt to EBITDA ratio of 1.56 times reaching one of the lowest leverage levels in years. Capital expenditure of $63 million were up 17% compared to last year. In addition, during the quarter, we return to shareholders $50 million in dividends as the first of the four installments for the full year 2021, and we acquired 31 million new shares ended our buyback program. During the quarter Orbia issued two sustainability linked senior notes; a five years $600 million note and a 10-years $500 million note at an annual cost of 1.875% and 2.875% respectively. Proceeds were used to refinance selected exit and debt. In total, we reduced our average cost of debt by 50 bips to 4.1%, and extended our average debt maturity from 12.6 to 14.1 years, with our next significant maturity extended to 2026.
Sameer Bharadwaj: Thank you, Edga. I am now on Slide 6. Next, I would like to discuss our strategy. As we have demonstrated, our integrated business model provides significant advantages with security of supply being the most evident. Other benefits include realizing efficiencies in product development, cost synergies, and the ability to leverage our geographic footprint. We are seeing a strong rebound in most of our end-markets, and are pursuing value-generating organic growth projects in each of our businesses. We have identified target areas for potential bolt-on acquisitions, and we are well positioned with lower leverage and historically low borrowing costs. Finally, we continue to emphasize sustainability, investing in the communities in which we operate, and enhanced corporate governance.
Edgardo Carlos: Thank you, Sameer.
Sameer Bharadwaj: Operator, we are ready to take questions.
Operator: Thank you.  The first question comes from Nicolas Schultzman  with Morgan Stanley. Please go ahead.
Unidentified Analyst: Good morning. Congratulations on the phenomenal results. On Wavin, first question. Can you provide a bit of a color on the regional breakdown and some of the trends that that you're seeing? To what degree was this driven by LatAm? To what degree was this driven by Europe? And anything you can say in terms of when you expect the supplies for non-integrated players to kind of normalize? And then, second question, if I may. If you can provide any color on Dura-Line and Netafim, sort of the breakdown between volume and price; you commented I think on the strong volume outlook for Dura-Line. What are you seeing - we just don't have the data necessarily to do separate volume and price in these two divisions; so any color there would be highly appreciated? Thanks a lot. And again, congrats on the numbers.
Edgardo Carlos: Thank you, Nick. Let me address the first - the Wavin performance. Again, I mean, while we compare versus last year probably is an easy comparison but also when you compare versus last quarter, there was a very strong performance. I will say that roughly the $50 million increase in EBITDA coming from the first quarter is split $30 million in Europe and $20 million in LatAm, primarily. But really there are several factors that are contributing to this outstanding performance in Wavin. First of all, as we commanded, the value of the integration with a PVC chain is bringing a relevant position to satisfy our customer needs in this environment, most importantly, LatAm, and to some extent in Europe. Second, there was a continued execution of our operational excellence plan, and further footprint rationalization; now we are focusing in Ireland, Lithuania and Norway. But if you remember, in 2000 - late 2019, and during 2020, we've conducted a significant downsize in our restructuring of our footprint, getting optimization in several facilities, consolidating production; that brings lot of value in terms of better logistics and much better cost utilization with full utilization of the facilities. So, this is very important as we mentioned several times; we continue doing a significant inroads in the very high value are determined like storm water management and indoor climate systems, pretty much in Europe, and now moving into LatAm as well; where also several of our high-end products are totally sold out at this point in time. Definitely, we have an easy comparison, as I said, which is also on '20  but still - I mean, the disciplining costs really helped us to bring a significant value for LatAm and EMEA. And also, we are continuing transition into our monetizing services for preferred investment and piloting with connected products, as well as market expansion in the APAC incorporating the Dura-Line Brownfield operation in India which is a very important project. We do see a strong momentum in Wavin continuing in Q3 while demand continued very strong, and we will aim to maintain our healthy margins. I will pause here and Sameer, probably you can go over Dura-Line and Netafim.
Sameer Bharadwaj: Sure, yes. So Nick, I think - you know, great question on Wavin. And without a doubt you can see the - our integrated module working here because the security of supply that we have, particularly in LatAm has really benefited us across the entire chain. And even in Europe, this has benefited us in a pretty strong way. Now, we can't comment on the supply chain issues that some of our competitors and other market participants have been experiencing because there has been a host of issues; but fundamentally demand remains very strong. You had a second question around Dura-Line, whether it's volume or price. And what I can tell you is, fundamental demand in the Dura-Line business remains very strong, and this is driven by - you know, a large part of it is U.S., driven by the growth in 5G, rural deployment of fiber, cloud computing, and all of our major customers have significant growth plans, and as a result of which we are having to accelerate our investments in de-bottlenecking and increasing our capacity. And so - so volume performance for Dura-Line has been fundamentally strong. You know, much of what we are seeing here is - has been caused by the two factors; one is, the fact that it takes several months to catch-up on price, and we did have disruptions related to raw material availability and labor shortages that prevented us from fulfilling as many orders as we would have liked in the last quarter. So, hopefully that helps, Nick?
Unidentified Analyst: Very helpful. If I may, just a follow-up question on that. I think it becomes abundantly clear when you look at your numbers, that integration works really, really well this quarter and that probably going forward the next quarters given the supply issues. I thought the answer related to the structural part was quite interesting. Is there any way that we can sort of quantify - I know year-on-year sequential, everything is kind of difficult; but can we say it played a 30% role or can we quantify that - you know, the importance of having taken some cost out of the system on a more structural basis? In other words, just to see how sticky these higher margins could turn out to be.
Sameer Bharadwaj: So Nick, I think - we have been continually optimizing our structural costs in Wavin. And then, of course, when we combined Wavin-Amanco, the LatAm operations, and we are continually looking at ways to optimize our footprint, improve our cost position. And it's a relentless journey; and this doesn't happen overnight. And with every step we take, we are improving our overall margins by half a percentage point, one percentage point; and inching our way to the mid-teens for overall Wavin, right. And so - you know, I think that's the best way I can answer that question. And we are not done yet, I mean there is a few more opportunities where we are looking to improve our structural cost position, and we'll keep doing that.
Operator: Our next question comes from Frank McGann with Bank of America. Please go ahead.
Frank McGann: Okay, good morning. Thank you very much. Just to follow-up on in Polymer Solutions; the JV with OxyChem. I was wondering if you could comment on how important improvements were there; I mean, this quarter? And how over the next two to three quarters, you could potentially see those either staying as strong as they are or potentially softening there?
Sameer Bharadwaj: Yes. Very good question, Frank. So, in the Polymer Solutions business group, the JV - the cracker JV with Oxy plays an extremely critical role in positioning us much closer to the left of the supply curve versus the competition. And I would say, you know, despite the challenges we faced in the quarter, there are weather-related challenges, logistics-related challenges; it's the integration in the cracker that's really benefiting us, and the attain ethane-ethylene spreads that we are seeing, as well as the downstream, VCM PVC spreads . That's - for us, that's absolutely critical; and so - and we see that benefit continuing going forward. In this value chain, it's incredibly important to be integrated all the way, right from cost of chlorine to ethylene, to VCM, and to PVC. And it's a critical part of our success, and will be going forward.
Edgardo Carlos: Yes. If I can add something to give a color, Frank. Clearly today, of course, the margins are very, very high but even last year, remember when the price of the PVC was close to $550-$600; we were able to get a very reasonable cost - variable cost structure to continue making profit in that environment because of the full integration with cracker. So, it has been proven in a very extreme condition like last year, not to mention now we are enjoying this incredible moment for the PVC.
Frank McGann: Is there any way to quantify how much it contributed in the quarter to you?
Sameer Bharadwaj: So, it's - I think both factors; if you look at the components of the PVC chain, Frank, you know, so there is the margins in each of these components; there is the ECU, there is the ethylene - the cracker, and the downstream. And historically, the profit pools have been more upstream in the cracker and in the ECU but - but I would say that in the past couple of quarters, we have - you know, it's more balanced, both upstream in the cracker portion, as well as on the downstream side where the spreads between VCM and PVC are also quite substantial. And so, I don't have any specific numbers of the top of my head, but I would say it's a very balanced view of profitability across that chain.
Operator: Your next question comes from Andres Cardona with Citibank. Please go ahead.
Andres Cardona: Hi, good morning, everyone and congratulations on the second quarter results. What I would like to ask has to do with the performance of the share because year-to-date we have seen a very strong performance of the company at the operational level and the outlook remains very strong, but there seems to be a disconnection between the performance of the operation of the company and the equity performance. So what I would like to get from you is, what type of concerns have you identified from the market about the business plan or whatever you have got from the market? And the second one will be derivative of the first one; what can the management do to solve these type of concerns and help the performance of the equity to follow this strong performance of the operational business? Thanks.
Sameer Bharadwaj: Andres, thank you for the question. And also, thank you for your coverage where we see that your understanding of our businesses is actually quite good. You know, it is disappointing to not see the stock, follow the performance of the company. And as we have talked to a number of analysts and investors, what we realize is; there is still a perception out there around our earlier strategy, that - you know, we were going to sell the Vinyl business, and essentially become a downstream company and participate only in the higher value downstream part of the chain. And you know, what me, Edga and the rest of the management team are going to be focused on going forward is to really help our - you know, analysts who cover us and investors understand that the perception that the upstream part of the chain is low value is not the right perception, okay. We this apparently - so, commodity business is having extremely high EBITDA margins, and even when it normalizes it will settle down at substantially higher levels, and is a strong generator of cash that we can deploy across our value chain in much higher value - in other value-added opportunities. And so, I think it's very important for everybody to understand our growth strategy. And you know, that we are now seeing a lot of benefits from the integrated chain; we have substantial growth opportunities in each and every one of our businesses, both organic opportunities, as well as, strategic bolt-ons that we can continue growing this company. And I think in order to do that, we plan to - sometime in the next few months, we will organize an Investor Day and we'll invite all of you to come and spend time with me, with the business group leaders, and we will go deep and explain the excitement we have in each of our businesses. And hopefully, that's going to address any concerns people have about our strategy. And the fact that this company, post-pandemic, is incredibly well positioned to grow; we have a strong post-pandemic recovery in most of our businesses, we are yet to see a recovery in Koura but that should come as the situation - the supply-demand situation corrects in that part of the chain. We have historically lowest cost of borrowing, and we have strong cash generation, and now is the time to invest and grow, and that's what we're going to be focused on. And I think when analysts like yourselves and investors appreciate the magnitude of the opportunities, we have in each of these businesses, and the relentless focus we have on execution while being extremely disciplined from a commercial excellence standpoint, cost management standpoint, and we are able to deliver sustained earnings growth; the stock price should follow.
Andres Cardona: Thanks, Sameer, for the very detailed answer and for the kind words. Again, correlations on the results.
Sameer Bharadwaj: Thank you, Andres.
Operator: Our next question comes from Luiz Carvalho with UBS. Please go ahead.
Luiz Carvalho: Hi, everyone. Thanks, Sameer for taking the question. Edgardo, very good luck and best of luck, and thanks for the partnership during the times. And also, to all of you congrats on the results, very strong. I basically have two questions here, if I may come back to the last question and take care your answer Sameer, at least to me, and maybe I have lost  something over the past couple quarters. But your speech is, I would say, at least to me, again, points to a different - I would say different direction in terms of capital allocation strategy of the company. And while you're here you're saying that due to the polymer business you do bring some synergies with other Orbia businesses. It's way more cyclical than others and potentially, nowadays we're talking about the peak of the cycle, right. So back to the capital allocation strategy, you - as you just said, you have a very low net debt to EBITDA level, you already paid some dividends and you gave some details about do not pursue to actually to divest from the polymer business anymore and gave some of the details about each of the segments. But what will be the driver here in terms when you think about the capital allocation strategy? And to the last question, would you consider to actually to perform some buybacks or is it something that you're looking maybe to the acquisitions, for example, what the growth you're looking to ROE, ROIC? What are the metrics for the thresholds that you're looking that we can try to track looking forward? And the second question, it's also a follow-up in one previous question in terms of the - how resilient and recurrent the results for the second quarter were. Of course, that you gave - you updated your EBITDA guidance for the rest of 2022 - sorry - for 2021, sorry. But I'm just trying to - I don't know, get a sense from you guys, what will be the outlook for 2022 as we are almost in August and I think that investors are starting to move to 2022 results? Thank you.
Sameer Bharadwaj: Okay. Luiz, again, an excellent question. And let me address that head on. You know, this whole perception of peak of cycles, right, let's talk about cycles; what causes cyclicality in any commodity business. And cyclicality - so demand is growing monotonically, I mean it's growing continuously, and especially demand for PVC driven by emerging markets and demand for clean water sanitation, building and construction is growing at a significant clip; 4%, 5%, 6% a year globally, which is higher than world GDP. Cyclicality is caused by extremely large additions of capacity at the same time that the market cannot absorb that capacity, and so for a period of time prices go down, and it causes the cyclicality and that's what people have been used to. Now if you look at the vinyl chain, this is an industry that has been grossly underinvested in over the past decade; most of the assets out there are very old and falling apart which is why you've had so many supply disruption. Now, of course, all these force majeure's and supply disruptions will go away and PVC prices will come back to some normalized level. But that normalized level is going to be at a very different level than it - what it was only a couple three years ago because demand has continued to grow. And so, I think it's very important to address this perception of peak part of the cycle and - you know, because nobody can add capacity overnight, including us. Any of these projects we're talking about are multi-hundred million dollar or billion dollar projects, and they need to be capital efficient, and they take at least two to three years to execute. So, I think I would - you know, everybody should understand that for the next few years, at least, it's our view that this is an industry that will be constrained until there is substantial addition of capacity. Now, in that context, for us the integration has tremendous value; we - you know, we will invest across the whole value chain. So, for example, we are looking at capital efficient ways to de-bottleneck our PVC assets, to see if we can create more capacity through minimal investment in capital, we are looking at potential alternatives to increase our VCM capacity as well. Keep in mind, that there is very few players in the world that has the skillsets to operate in this space; and it's not easy to thread the needle in an industry that's associated with both, caustic chlorine and with PVC, and we are one of the few companies that has the ability to do so, and we will do that carefully. Having said that, you know, we are going to allocate capital across our chain; we are - as I had mentioned, we are looking at growth projects in Koura, in the refrigerants change, in the energy storage chain. We are looking at expansions in Wavin, particularly in India and Indonesia; we are looking for ways to enter the U.S. markets. We have strong fundamental growth in Dura-Line and Netafim, and frankly, the challenge will be to keep up with adding enough capacity to meet the demand. So, you can see that from a capital allocation standpoint it will be across the chain, and we will prioritize products - projects that have the highest returns on invested capital and create long-term value and have a strategic link to one another. Your second question was on outlook for 2022. And, Edga can shed some more light on this.
Edgardo Carlos: Sure, Sameer. Thank you. And thank you, Luiz, also for the question and for the nice partnership that we developed together. In terms of 2022, probably still a little bit early to provide full color but assuming that we will see PVC prices come into a range of at least $200 or $300 per jump  above historical levels, we may see some impact in our earnings in the range of $200 million to $250 million. However, it is very important to mention that some of our engines are not at full traction today, such as Dura-Line, Koura and Netafim; that definitely will help to mitigate this potential reduction. We do see 2022 significantly above 2018 level, both in top line and bottom line; and this is probably more than we can share at this point in time.
Luiz Carvalho: Okay. And thank you very much for your answers. Sameer, if I may, just do a quick follow-up on the first sensor. That idea of potential listing Orbia in another stock exchange like - I don't know . How this process is on your mind nowadays? Thank you. And sorry, for the third question.
Sameer Bharadwaj: Yes. No, it's a - that's a good question because it's been on people's mind. And look, while we don't rule out such a listing at some point in the future - that whole transition can be quite distracting to the business at a time when we need to be focused on driving growth and creating value, right. And so, our focus in the near-term is going to be on value creation. And overtime, there are several levers for unlocking that value and capturing that value, and we will not hesitate to exercise those levers at that point of time. But to directly answer your question, it's not - there is not - it's not an urgent thing for us right now, to focus on listing in the United States.
Operator:  Our next question comes from Alejandro Zamacona with Credit Suisse. Please go ahead.
Alejandro Zamacona: Hi, Sameer. Hi Edgardo, Javier. Thanks for the call, and thanks for taking my question. Just a quick question on the guidance infrastructure plan. Probably not quantify at this point, but any thoughts around any business committees  identified with this infrastructure plan? Thank you.
Sameer Bharadwaj: Sure. So Andrew , it's a really good question. And as you said, it's tough to identify across all the sectors, but if I go business by business, clearly the infrastructure plan is going to require basic and advanced materials. And so, all of our businesses associated with those materials should benefit whether it is PVC, specialty resins, specialty compounds, our pipe and fittings business, Dura-Line in particular; in addition to Biden's plan there, there are already significant plans for rural deployment of fiber and providing broadband access more unilaterally across the country and so, we are already benefiting from that. The new potential driver longer term, again, for us would be some of the encouragement that the Biden administration is providing for the transition to sustainable energy. And so, particularly, supporting any projects associated with lithium ion batteries or product and technology development. And we are investing in that area, even as we speak.
Alejandro Zamacona: Thank you, Sameer.
Sameer Bharadwaj: Thank you, Alejandro.
Operator: Your next question comes from Ben Isaacson like Scotiabank. Please go ahead.
Unidentified Analyst: Hi, thank you. This is Dia Dan  for Benefits. And congratulations, again, on the quarter. It's pretty beat and it's a lot of what you said, kind of came true, which is excellent for us to see. I just have a quick question on - just the growth initiatives. You talked briefly about, you know, in the capital allocation priorities; how we're looking at organic growth, as well as some bolt-on acquisitions. But is there any way we can frame the magnitude of those investments, maybe in terms of $1 amount spend or maybe a target EBITDA that you're looking to achieve with the opportunities you're seeing in your pipeline today? Thank you.
Sameer Bharadwaj: So great. And again, this is very high level, Ben. But in terms of sizing scale of these opportunities, you know, some of these are tens of millions of dollars of investment, some range from $50 million to $200 million. And then, of course, in the vinyl business, it will be that much longer scale projects and those are several hundred million dollars type of investments, okay. I'm talking about organic growth projects or joint ventures where the co-invested capital in a growth opportunity. In terms of bolt-on acquisitions; once again, let me remind everyone, our focus is on - it's been very selective in terms of either addressing a gap in our geographic footprint, and/or acquiring technology that we can acquire and leverage worldwide. And these typically, again, are in the range of tens of millions of dollars to maybe couple of hundred to $300 million. Now, having said that, my philosophy on M&A and our company's philosophy on M&A is; an M&A deal only makes sense if you have significant growth and significant synergies, such that the returns on invested capital pay off overtime. And if we cannot make that happen, we're not going to do any such deal like that; and so we'll be very disciplined when it comes to M&A and very, very selective when it comes to M&A. But we don't rule that out.
Unidentified Analyst: Thank you. That makes a lot of sense. And I guess just to confirm, in terms of the specific timings if we're thinking about, you know, in the PVC businesses; that has maybe a longer runway for us before we start seeing those initiatives, whereas elsewhere it could be maybe shorter term where we're seeing those initiatives really start contributing to EBITDA?
Sameer Bharadwaj: Absolutely, Benefits. More so in a downstream businesses, as we are seeing strong fundamental growth and demand; this is about de-bottlenecking our plants, adding extrusion lines, and these can happen on a much quicker timescale. And given the growth and demand, these will also pay off much quicker as well, right. But it's a different scale we're talking about, and so - you know, with the diversification we have across our portfolio, and the slew of opportunities we have, our goal is to deliver steady earnings growth over the next several years.
Unidentified Analyst: Perfect. Thank you very much.
Operator: Our next question comes from Leonardo Marcondes with Itaú BBA. Please go ahead.
Leonardo Marcondes: Hi, guys. Thank you. Thanks for taking my questions. First, I would like to know if you guys could explain a little bit dynamics of passing through higher costs in the Dura-Line and in that a few segments? Basically, I'm trying to get a bit more color on the margin compression for these business during this quarter. And second, I would like to know if you guys could give us a bit more color on your most recent acquisitions? I mean, what are the contributions in terms of revenues and margin that you guys expect them to deliver over the next year? So those are my two questions. Thank you.
Sameer Bharadwaj: Edga, do you want to take the margin compression question for Dura-line and Netafim? And then, I can take the second question on the acquisitions.
Edgardo Carlos: Yes. Clearly, that the impact of the raw material and the cost structure of Dura-Line is more severe than in Netafim which encompass many other products, not only the resins. And I will say that today, based on the older price increases that we have done, we have covered probably a little bit more than 60% to 65% of increase in raw materials; so there is a lot of at least three months to catch up with the full impact of the raw materials. And again, we have developed for many years excellent relationship with key customers that are on the long-term basis, and we are really respecting, of course, all the terms and conditions to continue to supply on time. We know that this is sometimes go like late last year, it was very positive for us; this year it's exactly the opposite. In the case of Netafim, I will say that today we are having an impact of approximately 6% to 7% in the total cost that has not been yet recovered. But again, there are a lot of actions that are taking place, and of course, the more - but again, there was another increase in resins in July that was not expected. So at the end of the day it's taking longer to fully cover, but again, the most significant one affected was Dura-Line.
Sameer Bharadwaj: Yes. And I think, Leonardo, you see the cycle with which we engage with customers in Dura-Line is different from Netafim. So, in Netafim we're short cycled, with Dura-Line it's long-term project. And so - you know, it just takes longer to get the increases through, especially with some of these strategic customers. But I'm fully confident that the team has taken every measure possible to catch up, and by Q4 we should have caught up. And Netafim will be earlier than that; while we are in Q3, Netafim should be fully caught up as well. And then once we are there, that's a good position to be in. To answer your second question on our acquisitions; we announced an acquisition of a controlling interest in Shakun Polymer in India, and Shakun is the leader of high-end wire and cable products in the entire region; so this includes India, Middle East, Africa, and have had tremendous growth over the years. And we have complementary set of products, and together, with the synergies that we will realize this with Shakun, there is an opportunity to substantially grow the business not only in India, but in the entire region. So, we have great expectations from this venture. Then the second one is the acquisition of Gakon Horticultural Products, the greenhouse technology company that we acquired in The Netherlands. And you know, the contribution to earnings of that company are not material; that is mainly a technology and capability acquisition which we can now leverage across the world through our footprint in Netafim on every continent. We are very excited about the opportunities in the greenhouse space in the U.S., in China, in Australia and many other places. And, so that in combination with Netafim has significant promise over the next several years.
Leonardo Marcondes: Okay, thank you.
Sameer Bharadwaj: Thank you, Leonardo.
Operator:  Our next question is a follow-up from Nicolas Schultzman  with Morgan Stanley. Please go ahead.
Unidentified Analyst: Thank you. I'm sorry for coming back and perhaps being a bit slow. Edga, just to make sure that I understood what you were saying about growth next year; do you expect both, the top line and the bottom line to show positive growth in '22 or '21? Is that correct? And if so, can you give any color on the importance of any acquisitions in that statement? Thanks, guys.
Edgardo Carlos: No, no, no. No, Nick. My comment was referring to 2019. So, basically, I mean 2020, I tried to take aside  because of the COVID issue. 2021, we do have some significant tailwind. So what I say is on a normalized basis, we're going to be landing in 2022, both from top line and bottom line significantly above 2018 levels.
Unidentified Analyst: Got it. Thanks for the clarification, makes sense.
Edgardo Carlos: You're welcome.
Operator:  Thank you. And I will now turn the call back over to CEO, Sameer, for any closing comments.
Sameer Bharadwaj: Thank you, Sarah . We are very well positioned to continue to capture growth and are confident in our ability to deliver strong returns as we support our stakeholders and communities worldwide. I thank you, again, for joining us today. And look forward to talking to you all, again, at the end of next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.